Operator: Ladies and gentlemen, thank you for standing by and welcome to the Apellis Pharmaceuticals Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. . I'd now like to turn the call over to your host Meredith Kaya. You may begin.
Meredith Kaya: Good afternoon, and thank you for joining us to discuss Apellis's second quarter 2022 financial results. With me on the call are Co-Founder and Chief Executive Officer, Dr. Cedric Francois; Chief Commercial Officer, Adam Townsend; Chief Medical Officer, Dr. Federico Grossi; and Chief Financial Officer, Tim Sullivan. Before we begin, I would like to point out on Slide 3, that we will be making forward-looking statements that are based on our current expectations and beliefs. These statements are subject to certain risks and uncertainties, and our actual results may differ materially. I encourage you to consult the risk factors discussed in our SEC filings for additional detail. Now, I'll turn the call over to Cedric.
Cedric Francois: Thank you all for joining us today. 2022 is a transformational year at Apellis and we are making great progress across each of our key priorities. I'll start with geographic atrophy, or GA. A few weeks ago, we were thrilled to announce that our NDA for intravitreal pegcetacoplan was accepted by the FDA with a priority reviews designation and the PDUFA date of November 26, 2022. The FDA also stated that it is not planning to hold an advisory committee meeting to discuss the application. This is the best outcome we could have hoped for and I am so proud of the Apellis team for their efforts in getting us to this pivotal point. The NDA includes all available data from our DERBY and OAKS studies out to 18 months and in the case of some patients even longer, as well as the 12-month data from FILLY study. Collectively, these data reinforced the potential for PCO plan to meaningfully slow disease progression and become the first ever treatment for the millions of patients living with GA, a relentless disease that is a leading cause of blindness worldwide. We continue to work with the agency in our efforts to bring this therapy to patients who currently have no approved treatments. In parallel, we are also ramping up our commercial preparations so that we are well positioned to bring intravitreal pegcetacoplan to patients immediately upon potential approval. In Europe, we are on track to submit our application to the EMEA by the end of this year. We will include the 24 month data from DERBY and OAKS in our submission, which we plan to report in September. Cedric, will speak to this a bit more in a few minutes. Turning to PNH, we remain focused on further establishing EMPAVELI as a first line treatment for patients living with PNH. We are seeing continued strength across a number of key indicators translating to $15.7 million in US net revenues for the second quarter. Globally, our partner Sobi is also making progress in bringing EMPAVELI to patients with PNH outside of the US. Beyond PNH, we continue to advance EMPAVELI as a transformative therapy for rare compliments driven diseases. Together with Sobi, we now have four later stage clinical programs underway. We are also continuing to progress our early stage pipeline with INDs plan for APL 2006, and our SiRNA program in the first half of next year. We have made great progress in our partnership with Beam and with our efforts to advance complement inhibition as a novel approach to enhancing adeno-associated viruses or AAV-based gene therapy products. We are also continuing to advance our pre-clinical work with APL 1030 for potential use in neurodegenerative diseases, but no longer expect to submit the IND by the end of 2022. On the finance side, we ended the second quarter with approximately $850 million in cash providing runway into the first quarter of 2024. This puts us in a uniquely strong position in this challenging market environment as we head into a potential launch later this year. We look forward to building on our momentum as we further cement our position as a leadering compliment across multiple therapeutic areas. And with that, I will turn it over to Adam.
Adam Townsend: Thank you, Cedric. Turning to Slide 5, we are now in our second year of commercial EMPAVELI in the US and as Cedric mentioned, the commercial launch remains strong. In the first year, we focused our efforts on the patients with the highest unmet need who are the one third of patients on C5 inhibitors who require transfusions to address their falling hemoglobin levels. We are continuing to see positive trends across the key leading indicators. In the second quarter, approximately 30 start forms were generated bringing the total number of start forms since launch to approximately 190. Over 75% of C5 inhibitor patient switches are continuing to come from Ultomiris. Over 35 additional physicians were REN certified bringing the total since launch to greater than 200. We continue to see strong REN certification growth, which continues to be a key leading indicator as we move into the second year of launch. Patient compliance rates remain high at 95%, and we have established strong formulary access amongst the top 20 payers. Now in the second year, we are heading into the next phase of our commercial strategy, which is expanding our focus to the broader PNH community by further positioning EMPAVELI as first line treatment for all patients with PNH. We are refining our physician targeting so that we efficiently call on those prescribers who are treating the majority of PNH patients. We are also advancing our outreach to key thought leaders, especially now that Dr. Hillman is fully onboarded. In this next phase of launch, we will evolve our partnerships with new centers to drive additional prescribers and ensure that patients with PNH have access to EMPAVELI. Additionally, our S&DA including the Phase 3 print results and the 48-week Phase 3 Pegasus data was accepted with a PFDUFA for date in February, 2023. If approved by the FDA, this will allow us to strengthen our promotion of EMPAVELI, for treatment naive patients, and raise more awareness of our long-term efficacy and safety data. Now turning our attention to our progress in GA on Slide 6, we are excited to be even closer to our anticipated approval and commercial launch in this critical area of high unmet need. GA impacts five million people worldwide, including one million people in the US and I expect the first approved therapy for this devastating disease may uncover even more patients. Here at Apellis, we are compelled by the potential to bring the first ever treatment to patients as quickly as possible and excited by the FDA's decision to grant intravitreal pegcetacoplan, a priority review designation. We are eagerly awaiting our November PFDUFA date and our team is focused on ensuring that we are well positioned for the launch. We are ramping up our commercial capabilities with the key US leadership positions already in place, as well as additional key positions globally and much of the US field force is starting imminently. Our focus prior to approval is on disease state awareness, specifically within the retinal community and among some of the broader eyecare groups. We are also advancing payer engagement to help us to secure strong reimbursement and access post-approval. And we have established a Retina Advisory Council made up of several global opinion leaders to provide insights and advice as we prepare to bring pegcetacoplan to the market. At launch, our initial focus will be on the top 2,600 retinal specialists and injecting ophthalmologists in the US. These physicians are managing the vast majority of GA patients currently. We will expand our efforts over time to activating additional referral pathways, to ensure that GA patients are being referred to the right physician for treatment consideration. We look forward to providing more granular details on launch preparation and execution as we closer to our PFDUFA date. Let me now turn the call over to Fede
Federico Grossi: Thank you, Adam. The data from our DERBY and OAKS studies continue to underscore the significant potential of our C3 complement approach. Following the 18-month data reported in March, we have shared additional analysis at key retina meetings, reinforcing that treatment with both monthly and every other month intravitreal pegcetacoplan induced studies demonstrated a clinically meaningful reduction in GA lesion growth with a favorable safety profile. As highlighted on Slide 7 at ARVO in May, we presented data showing the treatment with pegcetacoplan continue to demonstrate a robust effect in patients with extrafoveal lesions and an improved effect in patients with foveal lesions as compared to what we observed in the 12-month results. We also had a strong presence at Macular Society in June. This included data showing consistent reductions in GA lesion growth in treated eyes versus untreated fellow eyes. Pegcetacoplan, also demonstrated sustained reductions in GA lesion growth across all subgroups defined by increasing distances from the center. And just last month at the ASRS, we shared analysis from DERBY and OAKS that showed the mean rate or slope of GA lesion growth at 18 months. The results from this analysis were consistent with what we have shown previously at 18 months with all nominal P values for both dosing regimens below 0.05. Collectively, all the data from DERBY, OAKS and FILLY reinforce the potential of Pegcetacoplan to slow the progression of GA across the disease spectrum, which is critically important given the heterogeneity of this patient population. We're excited to potentially bring the first ever therapy to patients with GA with an opportunity to save as many photoreceptor cells as possible throughout the course of the disease. In September, we plan to share top line results at 24 months. As you may recall, at 18 months, we presented pool data showing that treatment with pegcetacoplan resulted in increased efficacy over each six months interval; zero to six, six to 12 and 12 to 18. We look forward to evaluating whether this improvement continue between month 18 to 24. If confirmed, it could mean that the longer patients are on treatment, the better the response to the drug. This could compound into very large lesion size reduction over time. Additionally, the secondary functional endpoints will be assessed at 24 months. GA progression is correlated with loss of visual function over long periods of time, meaning that reducing the rate of GA lesion growth should eventually reduce the rate of vision loss. As we have mentioned before, and as literature will suggest, we do not expect to detect the difference between pegcetacoplan and Sham at 24 months due to the limitations of the functional endpoints and a relatively short period of time over which they are being assessed. We anticipate the separation to occur over longer periods of time. We will include this 24-month data in our MAA. We have had productive discussions with the repertoires to date and are on track to submit into EMA, by the end of 2022. The repertoire have shared with us that the EMA wants to understand the relationship between preserving visual function and reductions in GA lesion growth. We're confident in our ability to show this based on published natural history studies and data from our Phase 3study. Moving on our pipeline on Slide 8, we're also working to deliver on the broad platform potential of EMPAVELI to advance our rare disease franchises, which includes four later stage studies in multiple complement driven diseases. In May, with the first in a Phase 3 study with pegcetacoplan in immune complex membranoproliferative glomera nephritis or IC-MPGN and C3 glomerulopathy or C3G also learned that FDA granted orphan drug examination for pegcetacoplan for the treatment of IC-MPGN. This estimation had previously been granted for pegcetacoplan for C3G. The Phase 2 study in hematopoietic stem cell transplant-associated thrombotic microangiopathy or HSCT-TMA hemato stem cell transplant associated thrombotic micro angiopathy or HS CT TMA is actively enrolling patients. Our partner Sobi is currently screening patients in the Phase 3 study cold agglutinin disease or CAD, and has guided to now dosing the first patient in the second half of 2022. And finally, we remain on track to report the top line results from our potential registrational Phase 2 study in ALS in mid 2023. Let me now turn the call over to Tim, for a review of the financials. Tim?
Timothy Sullivan: Thank you, Fede. Since we issued a press release earlier today with the full financial results, I will just focus on the highlights for the second quarter of 2022 summarized here on Slide 9. Total revenue was $16.3 million, which consisted of $15.7 million in EMPAVELI net product revenue and $0.6 million in collaboration revenue from Sobi. R&D expenses were $102 million, G&A expenses were $63 million and we reported a net loss of $156 million. As of June 30, 2022 Apellis had $853 million in cash, cash equivalents, and short-erm marketable security. We expect our current cash balance to fund our operations into the first quarter of 2024, including the ongoing EMPAVELI launch, the global launch of pegcetacoplan in GA and further development of our pipeline. We remain confident in Apellis' financial future as we continue to execute on our upcoming milestones. I will now turn the call back over to Cedric for closing remarks. Cedric?
Cedric Francois: Thank you, Tim. We are excited about the many opportunities ahead. By year end, we will expect to advance our position as the global leadering complement with two commercial products and a robust pipeline encompassing multiple late stage rare disease programs and additionally preclinical programs heading into the clinic. We look forward to continuing to share our progress as we build on the company's momentum. Let us now open the call for questions. Operator?
Operator:  Our first question comes from Madhu Kumar from Goldman Sachs. Your line is open.
Madhu Kumar: Hey everyone. Thanks for taking our questions. So I guess two from us. So the first one is a question we've been getting a lot recently from investors is how to think about some of the disclose of pegcetacoplan neuropathy events that were mentioned in the ARVO presentation a few months ago. So how are you guys thinking about ION and how are you thinking about it in terms of kind of the ongoing review process for PEG and GA? Second question is getting a lot from investors is how to think about the recently passed drug pricing reform as part of the inflation reduction at that happened over the weekend? How do you think that impacts the drug like pegcetacoplan that is largely biased towards patients on Medicare and kind of elderly patients and has kind of like a big market opportunity framework? So any visibility on those 2 points we clearly appreciated.
Cedric Francois: Thank you so much, Madhu, and it's great to hear you. So first of all, on the ION cases, so no assays for ischemic tech neuropathy were reported between the 18- and 24-month standpoint. So as you may recall, between the 2 studies, we had 1 case between month 6 and 12 and 2 cases months 12 and 18, where again, the patients that were subjected to this also had kind of comorbidities that could explain why this happened. But it's something that we continue to track, but we were very happy to see that it does not occur again, and it's not something that we are concerned about at this point in fact. I'm going to hand it over to Elan to talk briefly about further pricing.
Adam Townsend: Thanks for the question, Madhu. So obviously, we're monitoring this quite closely, but we believe the direct impact on the Palace portfolio is currently pretty limited. And let me explain a little bit our thinking. So let's start with EMPAVELI, right? So EMPAVELI don't think can be subject to negotiation until 2030 at the earliest. And even then, we think it's probably unlikely that Medicare spending on the drug would be sufficient to result in CMS seeking to negotiate a price for the drug. . As a reminder, right of our current sales, Medicare only represents 25% of the current business. Now obviously, with future indications and the extent of the Medicare spend, we determined the likelihood of eligibility for inclusion or negotiation in the future. Now if we move to GA and intravitreal PEG, based on the most recent bill language, again, the drug would not be subject to negotiation until early 2030s at the earliest. Obviously, at the moment, we can't determine the likelihood of negotiation until later in the 2020s when we have some more data on the spending on PEG MGA and how that compares to other Medicare products. What is interesting is, obviously, currently, our composition of matter patents for PEG expire in the early 2030s. So even with a negotiated price potential, it would only really have an impact for two to three years until our IP hits. So as I said at the beginning, I think at the moment, as we can see the bill, we believe the direct impact on pallet and our portfolio is currently limited.
Operator: The next Question comes from Umer Raffat with Evercore. Your line is open.
Umer Raffat: Maybe a couple of them, if I may? First, could you clarify, and I know there's been a lot of confusion on this, could you clarify any cases of metritis, uveitis or ION in Phase II FILLY trial that may not have been in the presentation? And I think there's 1 case in Sham, for example, if you could speak to that. And then secondly, folks listening in. I know there's been a lot of interest in understanding the profile on the clouding side for view  from their Phase III experience. If you could speak to any observations along those lines from your data to date? And I'm specifically referring to the conclusion seen in view  and if there's anything like that. Thank you very much.
Cedric Francois: Yes. Thank you so much for that question. So in FILLY, we had a case of ION in the sham control in the untreated fellow as well. And that's, as I already mentioned, previous question. Iowa is something that does occur naturally in elderly population, and it appears to be something that occurs more commonly when patients received intravitreal injection, something that we know also from the patients that are on treatment with anti-digest. Also the cases of vitrites go hand in hand with the intraocular inflammation background that we have for this intravitreal administration of exit coin. And the IOI cases that we have, first of all, on a qualitative basis are different from what we see with Dove where really the types of IOI that we had or that you have with that therapy can be very destructive to the eye. The profile that we have seen for the cases of inflammation are, first of all, quantitatively, very low and in line with what you would expect from patients on intravitreal treatment and also a lot of the kind that we are concerned about. So we believe that the safety profile continues to be very favorable and look forward to reporting the 24-month assessment as well.
Umer Raffat: And Cedric, would you guys be able to speak to vision loss with any of these cases when the 24-month data comes out? I don't want to put you on the spot right now.
Cedric Francois: Well, look, we will, of course, elaborate more on the safety profile, including on what exactly the impact of these cases are. When exactly we will do that remains to I'm not sure the top line unless it's considered meaningful. But definitely, in the future, we'll talk more about that.
Operator: Our next question comes from Anupam Rama with JPMorgan. Your line is open.
Anupam Rama: Congrats on all the progress, particularly on the GA side. I wanted to ask a question on the 24 DERBY and OAKS coming on back of some of your opening comments. So in a note last week, we have that sort of pegcetacoplan preservation of relative to base and/or a couple letter relative to placebo as kind of a win scenario. Where will track on the pegcetacoplan. Thanks so much?
Cedric Francois: Thank you so much for that question. So we look forward to the 24-month data in September, as mentioned. On the functional end points, as we have always said. We believe that those end points -- well, we know that those end points are not relevant to the FDA and the reason for that is that measuring functional endpoints is very difficult to do. It's very variable. It takes a long time to manifest itself on a baseline or telone are on treatment. So it all comes down to seeing the correlation between the reduction in lesion growth and showing that you save photoreceptor cells and estimating how in the long run, that will actually impact the functional end point. So we'll be working on that. The -- so we expect it to be in line between a 24 months do not show a difference yet, at least not statistical. And we believe that, that will have no impact on the FDA approval process.
Operator: Our next question comes from Tazeen Ahmad with Bank of America. Your line is open.
Tazeen Ahmad: As it relates to dosing frequency, is every other month still something that's realistically on the table as far as your discussions with the agency? And do you think that physicians having flexibility to dose either once a month or once every other month is going to be important for commercial uptake? And then secondly, can you just give us an update on where you are with ramping on the commercial front in terms of hiring people and when they would be trained, and would you be ready to go on day 1, if you got approval in November?
Cedric Francois: Thank you so much, Tazeen. So not only is every other month on the table, it's a product profile that we are very excited about, right? So when you look at the efficacy profile that we reported in 18 months, we'll see what happens at 24. You get a lot of the benefits, maybe as much as 90% of the benefits with every other month injections every month treatment with half the number of injections, right? So something that is very exciting to us, something that we will continue to evaluate. To get to your point on the competitive profile. We have several elements that position us favorably competitively as well. First one, of course, again, the ability to dose every 2 months. Secondly, the fact that we have reported all of the data to the FDA all the way up to 18 months with I think a reasonable expectation that should we get approval that, that will be included into the label. We also have, of course, both Foil as well as extra field patients that were included for a broad patient population, all of which we look forward to talking about more I'm going to hand it over to Adam to briefly about what we are doing in terms of commercial credit.
Adam Townsend: Tazeen, it's Adam. So thanks for your question. So yes, we are ready to go. We started to look for all of our field-based teams prior over the last couple of months, and we're now in the process of onboarding all of them. So a quick step back prior to this great news, we had hired the high-level leadership roles within the U.S., the high-level leadership roles within Europe and rest of world. And now we're going through all of the training process over the next couple of weeks to fully onboard the field-based teams from a medical affairs perspective and a market access perspective as well and any more sales and marketing people. We had a huge amount of interest in people wanting to join our company, which is super exciting. And obviously, we are getting ready for our November PDUFA date. And the second part of your commercial ramping question was, are we going to be ready at that time? And the answer is absolutely, that's our plan. I mean, with high unmet need in GA. We're going to do everything that we can to be ready immediately post that PDUFA date. So the team is exactly where they need to be today.
Operator: Next question comes from Lyla Youssef with Cowen. Your line is open.
Lyla Youssef: Congrats on the progress. Maybe quickly on the European filing expected by the end of the year in GA, can you just quickly clarify what else is outstanding besides the 24-month data for that? Is any component of that may be dependent on feedback from the FDA? And then maybe as a quick question. Appreciate that the FDA didn't request an AdCom currently, but what is your kind of understanding of the last possible deadline that they would have essentially change their mind and reflect the AdCom given the timing of your current PDUFA?
Cedric Francois: Thank you so much, Lyla. So for -- it was a little bit marveled but I believe that you asked about the European submission and including the 24-month data, which is what we are indeed going to do, and we plan to fail before the end of the year. I'm not sure whether you had a question more specific to that?
Lyla Youssef: Yes, if there is anything else that was outstanding or if you're waiting on feedback from the FDA that could help change that timing?
Cedric Francois: No. So this is not linked to feedback from the FDA. It's just including the 24-month data. And then as it relates to the no AdCom. So I believe from my understanding that up to 6 weeks before the PDUFA date. You can't have an AdCom. I think that considering the various time lines that we have that, of course, the longer time goes by, the less favorable time comes to still organized and a come so far, we have not received any indication that there would be one. I think it's also worth mentioning that the feedback that we gave as it relates to the regulatory communication was done in writing and is to the best of our knowledge, of course.
Operator: Our next question comes from Steven Seedhouse with Raymond James.
Steven Seedhouse: Just from a statistical analysis plan standpoint, when the FDA reviews the GA submission, is the primary analysis 12 months in all three studies or 18 months in DERBY and OAKS? And just given the availability of the 18-month data in the filing, are you still sort of needing to specify that FILLy and OAKS are the two positive well-controlled studies? Or do all 3 studies fit that criteria now?
Cedric Francois: Yes. Thank you so much, Steve. So the FDA does consider the primary analysis endpoint at 18 months in DERBY and in OAKS. In FILLY, of course, the treatment was up to 12 months. So there, it was at 12 months. You correctly point out that it was very important to us to get adjudication on FILLY in November last year. It would give us confidence and also allowed us to prepare the really without spending a lot of time trying to understand therapy and with the confidence that over time, DERBY would catch up to the OAKS trial. And that is what we saw happening at the 18-month data standpoint where, of course, the p-values flipped, and we will continue to see what happens at the 24 months, whether that correction continues to take place.
Steven Seedhouse: Okay. And then just quickly, for APL 2006, what precisely is the indication or eligible patient for that product? Is it just wet AMD?
Cedric Francois: So we are going to be talking about that more in the future for those on the call that are not familiar with this product. This is something that combines an anti-VEGF with an anti-C3 active loyalty in a single molecular entity. So it will be something that we believe will become very valuable in the context of early treatments either for what the or geographic has received but how we are going to approach this from a regulatory development perspective remains to the terms.
Operator: Our next question comes from Christopher Howerton with Jefferies.
Unidentified Analyst: This is Combie  for Chris. Maybe on kind of the EMPAVELI label expansion opportunity, can you help us understand the mechanistic differences between IC and PGN and C3G? What proportion of these post the post-transplant patients have recurrent disease? And do you expect EMPAVELI will perform as well in more severe patients as opposed to kind of more moderate patients? And then maybe as a second indication for ALS, can you help us understand the cast score endpoint? And what will be important to demonstrate in terms of survival time in terms of the ALS function rating score?
Cedric Francois: Thank you, Combie. So on the C3G indication, so we kind of think about the C3G and for that matter, the IC-MPGN population in kind of three buckets. The first one is newly diagnosed patients typically adolescent still with well-functioning kidneys but with, of course, a path towards kidney failure. The progression of the disease typically means that over the course of 10 years, half of your patients will go into end-stage renal disease. So that's, of course, when you're in your teams, not a lot of time. . The second bucket of patients, therefore, are those that are having significant loss of renal function, sometimes with nephrotic syndrome. And those are patients where efficacy becomes crucially important to avoid, of course, dialysis or let alone transplantation. And then to your point, the third category of patients are those that have been transplanted and where recurrence again is something that occurs in more than health of the patients and something where we believe we can have an influence in avoiding that from happening. Then as it relates to ALS, so the primary endpoint that we have there is the combined assessment of function and survival. This is an endpoint that was discussed, not just with the U.S. regulators, but also internationally. And the study is -- it's a registrational Phase II clinical trial. So it is properly powers should it have a positive readout to hopefully allow us to file in the various jurisdictions.
Unidentified Analyst: Great. And then just one quick follow-up. Is there any lessons you can learn from kind of the systemic administration of ability for ALS that you may be able to apply to your intrathecal neuro programs or nothing there? That's my final question.
Cedric Francois: Yes. So I think, look, as many of know anti-C5 has failed before when Ultomiris was tested in patients with ALS, but we also all know that C3, there's many things that C5 control does not do. We show that very clearly, of course, in PNH and it was the source of our approval there with EMPAVELI. We are now well north of 600 patient years of dosing with EMPAVELI. And I think -- and it's a point that we will be talking about more as we haven't seen a single case so far of meningococcal infection, not one. Whereas at this point in time, should have been on a C5 inhibitor, it's probably reasonable to have expected in the range of three cases, if not more. So that is something that we're very excited about. I think it's a safety profile that is building as we get more patients on active and something that should we have a positive result in ALS for the other indications where we're testing will, of course, be very beneficial as well.
Operator: Next question comes from Colleen Kusy with RW Baird.
Colleen Hanley: As a follow-up to Steve's question earlier on the 18-month data, is there any feedback you've received from the FDA? How do you see the 18-month data fitting into the filing, I guess, specially as it relates to the 12-month data?
Cedric Francois: I think that -- thank you, Collen, for that question. So it was very important for us to include the 18-month data, right? So when we got to read out in September and of course, the disappointment over narrowly missing the primary endpoint in therapy. We had 2 important strategic steps that we took. The first one was to get that adjudication in FILLY that we got early November. The second one was our decision in January to go to the FDA and to propose in our pre-NDA meeting that we would include the full analysis for safety as well as efficacy all the way up to 18 months, hoping that there would be a catch-up of their B2 books. And as you know, that is indeed what happened, right? So data up to 18 months was submitted and the primary endpoint, interpretation was very important with that 18-month data in mind. So I think just creates a very complete picture for the FDA. I think it was a good decision to do that. It's a very complete picture for the FDA. I think it was a good decision to do that. I'm not sure that answers your question, Colleen.
Colleen Hanley: Yes. Great. And are there any avenues that you're aware of that the FDA has available to get feedback from industry experts outside of a formal AdCom? Or if there's no AdCom, how should we assume there's kind of no interaction between the FDA and the field during its review?
Cedric Francois: Yes. So look, I think with the ophthalmological division at the FDA, we have a very well-informed and well-run division that has been stable for a very long time, right? The leadership there has been there for, I believe it's now three decades. And I know for a fact that this is a division that has a very deep interaction with the key opinion leaders in this field. So the reason why there was no ad com, I'm not going to speculate on. We believe that the filing was straightforward based on the content that we submitted, and it sees that they agree with us. But we also know for a fact that there's lots of interactions that happen off-line in this very tightness community.
Colleen Hanley: Got it. That makes sense. And last one for me. Just on the manufacturing part of the filing you submitted, can you take any high-level comments there and when the CMC inspections might occur?
Cedric Francois: Yes. So the manufacturing of the drug substance is the same as it is for EMPAVELI retrospect. As you know, we got our approval for EMPAVELI without a single 483 issues on either GCP or on manufacturing. We don't know if we will get inspections on the manufacturing side or not. But should we have any, we feel very comfortable that we will be able to come out of those costs.
Operator: Our next question comes from Derek Archila with Wells Fargo. Your line is open.
Derek Archila: Just two from us. The first, I just wondered if -- has the FDA discussed with you any potential finding either stay or efficacy from the 24-month data set that might prompt AdCom or require the 24-month data to site as part of the review? And then one question on PNH. I guess how are you tracking the plan in the launch, I guess, what are the major benefits of the inclusion of the 48, I guess in the PRINCE data, like what issue is that addressing to the launch?
Cedric Francois: Yes. Thank you, Derek. I will hand over the PNH question to Adam. But as it relates to the 24-month data, I think it's important to note that we don't expect any surprises between 18 and 24 months, right? So we believe to see an extension of both the efficacy as well as the safety profile as it was established at 18 months. So I think that is the way the FDA looked at it. That's the way we look at it. Of course, should something unexpected emerge at that point in time. It's hard to know what action should be required or what we would do, but that's not something that we believe will be the case. And then for PNH, I will hand it over to Adam.
Adam Townsend: Thanks, Derek. Yes. So obviously, we're entering year 2 of our launch. And internally, we've now pivoted to strategy what we call Phase II, right, where we're starting to target new centers and new physicians and continue to drive those sources of demand, and we'll keep talking about start forms and switches from C5 and REMS certifications, et cetera. . The 48-week and PRINCE state just really solidifies our first-line treatment of choice for PNH, right? The more data that we can have in the label, the more robust conversations we can have with physicians on the long-term efficacy and safety, but also on treatment naive. We're making really good inroads with treatment-naive patients. And I'll give you a little insight, our July start -- on over 1/3 of our July start forms were treatment-naive patients. We continue to see growth as physicians start to broaden their use from those with the highest unmet need to those larger and broader PNH patients than treatment-naive patients. So I expect to see that continue to progress and accelerate as we enter the next phase of our launch. So that's how the PRINCE data and the 48-week PEGASUS data help us out.
Operator: Our next question comes from Justin Kim with Oppenheimer. Your line is open.
Justin Kim: Just maybe 1 question from us. I know that the 24-month data may not be sort of that point where you can see separation on visual acuity. But how should we think about GALE and sort of that sort of duration of treatment as you combine it with potentially DERBY and OAKS. Is that something that could show maybe that hint of a trend or separation? Just wondering how we should think about that study.
Cedric Francois: Yes. Thank you very much for that question, Justin. So GALE is something that we are incredibly excited and happy with red. So for those not familiar with that, it's a 3-year extension on the patients from DERBY and OAKS that we then enroll to continue to monitor how function and how lesion-size reductions and safety profile themselves over time. It's also something that's very important to us competitively. . So again, we have every other month dosing. We have our first mover advantage. We have 18-month date and the filing, it includes all types of patients with foveal as well as extrafoveal patients. And then again, the ability to look and gel as to what happens in the long run. So it's something very important to us that we will talk about in years to come.
Operator: Our second comes from Yigal Nochomovitz with Citi.
Yigal Nochomovitz: I think, Federico, you said that the EMA wanted to see the relation between preserving visual function and lesion growth. So could you just expand a little bit on what data specifically you're going to leverage to make this point to since you said that the 24-month update won't be sufficient to show the separation on the functional end points? .
Federico Grossi: Thank you for the question. So we -- when we refer to the 24 months not being something significant, that mean that may not be sufficient to show trends on the data. So we're going to look at what we get from the study and in relation to that all the natural history data to find the relationship between the functional endpoints. And -- sorry, between the atomical endpoints function does not necessarily may come from central visual acuity, which is -- it's hard to measure. So we're going to be doing a little more investigation of the data in the study to see what correlations we get.
Yigal Nochomovitz: Okay. And then just, Adam, could you just tell us, if you could, what percent of the PNH market you believe you've captured so far in the U.S?
Adam Townsend: Yes. So thanks, Yigal. So obviously, we think there are 1,500 C5-treated patients, and we have over 200 staff or approximately 190 to 200 stockholes. So that should give you a good hint of how -- of the progress that we are making as we go. We obviously don't give guidance on revenue or anything on those lines. But with over 200 certified physicians and stock forms continue to come in. We think we are really making good progress in converting C5 patients and starting to eat the naive patients within PNH.
Operator: Our next question comes from Ellie Merle with UBS.
Ellie Merle: Just first on the ILN. Can you just elaborate on the cases that we're seeing, I guess, how the patients presented and how they were managed and I guess, if it was resolved? And then also specifically, I think in one of the first questions on the call, you mentioned some co-morbidities that the patients had. If you could just kind of elaborate on this and maybe why this sort of leads you to think that this was not truck related in those cases team? And then just second question, just in terms of thinking about the real-world potential duration of use of FI-VEGF in the cases of sort of new onset expedition, maybe just how you're thinking about that? And how long anti-VEGF might be used in those cases? And I guess, if there's any data that we can expect such as from the 24-month data or I'm thinking about sort of the longer term GALE study about sort of the management of the new onset expeditions thinking about the duration of use of the anti-VEGF.
Cedric Francois: Thank you, Ellie. So on the ION cases, the details is not something we're going to talk about on this call. I think the first and important point was to find out that these SAs were becoming worse over time, right? We had one in from six to 12 and then two from 12 to 18. There was, of course, I think your rightful consideration. This is going to be converse or not, and it isn't, right? So we didn't have a single additional case. Now as it relates to the to the real-world covenants for the new vaccinations, the DERBY and OAKS studies, when patients have nuanced exudations, they get treated with anti-VEGF on regular pathology. At the end of the two-year time period, we have on PRN step. What does that mean? People stop receiving anti-VEGF and then we find out how long does it take for these patients to leak again. And we compare that between active and the sham control. So that's going to be an interesting piece of information on which we will have more information next year as well. So GALE is important there again to find out what that means, how the independent patients are going to be on anti-VEGF. But I can tell you that in the studies, the combined administration of anti-VEGF and pegcetacoplan has not been an issue.
Operator: Our next question comes from Annabel Samimy with Stifel.
Annabel Samimy: So I realize I'm possibly getting the cart before the core. But you studied GA in a range of disease severities. So how do you envision approaching this market now it's clear from the data that the earlier, the better, but clearly the most desperate are the patients that were simply in site and maybe getting release benefit? So how are you initially going to be targeting this market as you enter the market? .
Cedric Francois: I had a hard time hearing you -- one second. Sorry, yes. Sorry, Annabel I had a hard time hearing you. But Tim was better hearing than me just to clarify this for. So I think, again, one of the very exciting parts of our data set is that every other month with helped injections, seems to give you close to probably 90% of the benefit in terms of slowing down the progression of geographic atrophy. So that fits very nicely with the product profile. But I think there's many product profiles, but two that stand out as being particularly attractive. One is the patient who has lost a vision in eye and wants to save as much business as possible in the fellow eye. Those are patients that probably you're going to want to treat as aggressively as possible maybe with monthly dosing. But then the other one, the one that you alluded to is you're a newly diagnosed patient, maybe in your first eye. You have an extra foveation. The fovea not affected. It's still small, and you're going to want to make that investment in getting the most benefit over a long period of time. And you're going to treat that patient with every 2 months dosing. And again, there is something there that we will continue to evaluate that we spoke about at the 18-month time point, which is that with every 6 months segment, we saw that the reduction in the lesion growth became better, not linearly, but essentially the efficacy profile of the drug seem to improve over time. Now we're going to see that's not a requirement for approval, of course. But it is something that is very exciting when you think about treatment for two, but five or 10 years, especially for those early lesions. So we're going to find out what happens between months 18 and 24. But if that trend from the first 3 segments continues, that's something very exciting that I think we can then look forward to. Extra fovea lesions early on, newly diagnosed and making a long-term investment with every other month dosing, we believe, is very important.
Annabel Samimy: Okay. And if I could ask a follow-up? So a lot of the pays we've talked to are looking for continued improvement over time and maybe separation of floats that you've shown in the segment data every 6 months. But as far as expectations for 24 months, I guess you've somewhat downplayed what we might be able to see at 24 months. But if there is no further separation, do you think physicians will the motivators continue to treat long term? Is this something that we have an idea of, is it just they're looking at sustainability? Or do they really want continue separation?
Cedric Francois: Yes. No, Thanks, Annabel. I think, look, if you continue to stay full receptor cells, the way we believe you will, right, even if that is a linear saving, so if you say around that 20% or even a little bit below that for a reduction in the growth of geographic atrophy based on the research that we did with the retinal community that is sufficient, should we get an increased effect over time that would, of course, be very exciting and something that we can then explore in that one? So it's not, we believe the requirement for adoption of this drug.
Operator: Our next question comes from Joseph Stringer with Needham.
Unidentified Analyst: This is Ben  on for Joe Stringer. Just a quick one. You kind of mentioned a little bit about the EMPAVELI payer mix. I think I heard around 25% Medicare, but just the overall payer mix, would you still characterize that as relatively stable around 50-50? Or do you expect that trend to continue or change?
Cedric Francois: Thank you. I'm going to hand that over to Adam.
Adam Townsend: Yes so -- yes, the majority of EMPAVELI Value payer is obviously commercial. And as we said before, 25% is a Medicare population. I expect that to continue.
Operator: Our next question comes from Douglas Tsao with H.C. Wainwright.
Douglas Tsao: Congrats on the progress. Just maybe as a follow-up, you made the comment about a lot of trying to start patients early, especially with every other month dosing. I'm just curious, how do you think about providing guidance to clinicians about when the time might be appropriate to switch a patient from every other month dosing to monthly dosing?
Cedric Francois: Yes. Thank you so much, Doug, for that question. So I think, look, there is there is a dose response, right? But that those response is not like twice the benefit from doing the monthly injections from what we get from every other , right? So -- but to your point, if you are a patient who has full-field encroachments, which means that you are now at risk for losing central vision and especially if you already planned or have lost business in the other line, that is a strong motivator to extract as much efficacy as you can. So it's something that we will continue to evaluate over time. And again, every other month for us is something that is very important competitively as well, right? I mean, again, to kind of reiterate, we have the first mover advantage, we have every other month dosing, we have data up to 18 months included in the file, and then we have patients with foveal as well as extrafoveal lesions that are included in this profile. So it is something that we believe covers all populations that have this disease, whether it's early, late, whether it's foveal, extrafoveal and where we believe over the long run, you can make a big difference in terms of saving for the receptor cells.
Douglas Tsao: And just as a follow-up, I'm just curious in the conversations with KOLs, do they appreciate how much bang for your buck you get from every other month dosing?
Cedric Francois: Yes, and it is something that we will continue to work hard on because we think that -- I think that up to this point, quite frankly, it has all been around what does the safety profile look like? Does the drug work or not? I think we've clearly shown over time that it does work, and that it works well, that it may potentially work better the longer you treat, and that with every other month dosing, you're close to probably in the range of 90% of the efficacy profile of monthly with half the number of injections. That's not a part of the message that we focused on but something that we will focus on a lot in the months and years to come.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Cedric for any remarks.
Cedric Francois: Thank you so much. My closing remarks are not opening, so closing. I just want to thank all of you for joining. We are really excited about the progress that we have made and what's ahead for us. In September, we will report the 24-month data, and we will be around later today and tomorrow, should you have any additional. Thank you again for joining us today, and have a wonderful rest of the week.
Operator: Well, ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.